Operator: Thank you for attending Wajax Corporation's 2025 Fourth Quarter and Year-end Financial Results Webcast. On today's webcast will be Mr. Iggy Domagalski, President and Chief Executive Officer; Ms. Tania Casadinho, Chief Financial Officer. Please be advised that this webcast is being recorded. Please note that this webcast contains forward-looking statements. Actual future results may differ from expected results. I will now turn the call over to Tania Casadinho.
Tania Casadinho: Thank you, operator. Good afternoon, and thank you for participating in our fourth quarter results call. This afternoon, we will be following a webcast, which includes a summary presentation of Wajax's Q4 2025 financial results. Presentation can be found on our website under Investor Relations, Events and Presentations. To begin, I would like to draw your attention to our cautionary statement regarding forward-looking information on Slide 2 and non-GAAP and other financial measures on Slide 3. Please turn to Slide 4. And at this point, I'll turn the call over to Iggy.
Ignacy Domagalski: Thank you, Tania. To start, I will provide highlights on our fourth quarter before turning it back to Tania to comment on inventory, backlog and the balance sheet. Slide provides an overview of Wajax. The corporation has more than 167 years of Canadian operating history and operates across 105 branches with a team of approximately 2,900 employees. During the quarter, our heavy equipment categories and revenue sources made up approximately 61% of our total revenue, while industrial parts and ERS generated approximately 39%. Turning to Slide 5. This slide provides an overview of our purpose and values. Wajax's purpose statement is empowering people to build a better tomorrow, which we strive to achieve by living our values and delivering an exceptional experience to our shareholders, customers, suppliers, our people and the communities we serve. Our purpose and values guide our decision-making and allow us to execute on our strategic priorities. Turning to Slide 6. This slide provides an overview of our strategic priorities, which were refined for 2026. Management is focused on executing against these priorities as well as optimizing inventory, managing costs and improving margins. Between our purpose and values and these priorities, management believes this will enable Wajax to generate sustainable long-term value and capitalize on future opportunities. Turning to Slide 7. Wajax delivered steady performance in the fourth quarter of 2025, including gross profit margin growth, higher earnings and improved leverage due to management's focus on inventory optimization and cost discipline to drive free cash flow and strengthen the balance sheet. Revenue of $560 million decreased $5.9 million or 1% in the quarter. The decrease resulted primarily from lower product support sales in Western and Eastern Canada, lower industrial parts sales in Central Canada and lower equipment sales in all regions. These decreases were offset partially by higher ERS revenue in all regions, particularly in Eastern Canada. Gross profit margin of 18% increased 100 basis points compared to the same period of 2024, reflecting improved execution. The increase was driven primarily by higher margins realized on industrial parts, product support and equipment revenue, reflecting management's focus on margin improvement initiatives in these areas of the business. The increase in margin was also driven by a higher proportion of ERS sales from a sales mix perspective. We remain focused on these margin improvement initiatives to strengthen our margin profile, mitigate ongoing market pressures and drive continued earnings performance. Excluding the adjustments noted on the slide, selling and administrative expenses as a percentage of revenue decreased to 13.3% in the fourth quarter of 2025 compared to 13.4% in the same period of 2024, primarily due to higher incentive accruals driven by improved financial results compared to the prior year. Adjusted EBITDA of $44 million increased $8.9 million or 25.2% from the fourth quarter of 2024, noting the adjustments recorded on this chart. The increase in adjusted EBITDA resulted primarily from higher gross profit margin and lower finance costs. Adjusted EBITDA margin of 7.9% in the fourth quarter of 2025 improved from 6.2% compared to the same period of 2024 and declined from 9.3% in the third quarter of 2025. Adjusted net earnings of $0.71 per share increased 104.1% or $0.36 per share from the fourth quarter of 2024, noting the adjustments recorded on this chart. At the end of Q4, the TRIF rate was 0.93, a decrease of 1% from the fourth quarter of 2024. Safety continues to be Wajax's #1 priority, and management is committed to continuously improving our safety program to improve on this result. We thank everyone on our team for their ongoing dedication to workplace safety. Turning to Slide 8. Revenue decrease of 1% in the fourth quarter resulted from lower revenue in Western and Central regions, offset partially by higher revenue in Eastern Canada. Western Canada sales of $261 million decreased 4.9% in the quarter due primarily to lower equipment and forestry sales, partially offset by higher equipment sales in the mining category and higher ERS sales. Central Canada sales of $95 million (sic) [ $95.3 million ] decreased 4.4% in the quarter due primarily to lower equipment sales in the material handling category and lower industrial parts sales. These decreases were partially offset by higher equipment sales in the construction and forestry category and higher ERS. Eastern Canada sales of $203 million (sic) [ $203.3 million ] increased 6.2% in the quarter due primarily to higher ERS sales and higher equipment sales in the power systems and construction and forestry categories. These increases were partially offset by lower equipment sales in the material handling category. Please turn to Slide 9. An update on equipment and product support sales and year-over-year variances are shown on this page. Equipment sales of $206 million decreased $2.6 million or 1.2% compared to last year due primarily to lower material handling sales in Central and Eastern Canada and lower construction and forestry sales in Western Canada. These decreases were offset partially by higher power systems sales in Eastern Canada, higher construction and forestry sales in Central and Eastern Canada and higher mining sales in Western Canada. Product support sales of $124 million decreased $8.5 million or 6.4% compared to last year, due primarily to lower Power Systems revenue in Western and Eastern Canada and lower construction and forestry revenue in Western Canada. Please turn to Slide 10. An update on industrial parts and ERS sales and year-over-year variances are shown on this page. Industrial parts sales of approximately $131 million decreased $3 million or 2.3% compared to last year due primarily to lower sales in Central Canada. ERS sales of approximately $88 million increased $9 million or 11% due to higher revenue in all regions, particularly in Eastern Canada, due largely to timing of larger projects. Turning to Slide 11. This slide summarizes sales at a category level for our company's overall groupings of heavy equipments and industrial parts and ERS. In the fourth quarter, the heavy equipment categories decreased $11.8 million or 3.3% due to lower sales in construction and forestry and material handling, offset partially by higher mining sales in Western Canada and higher power systems sales in Canada. The industrial parts and ERS categories increased $5.7 million or 2.7%, driven by higher ERS sales in all regions, offset partially by lower industrial parts sales in Central Canada. I will now turn the call over to Tania for commentary on backlog, inventory and the balance sheet.
Tania Casadinho: Thank you, Iggy. Please turn to Slide 12 for my comments on backlog and inventory. Our Q4 backlog of $516.6 million decreased $10.1 million compared to backlog of $506.5 million at Q3. And decreased $47.8 million on a year-over-year basis. The sequential increase was due to an increase in Power Systems backlog driven by the River Class Destroyers (RCD) subcontract entered into with Irving Shipbuilding Inc. During the fourth quarter of 2025, this increase was partially offset by lower backlog in all other categories, most notably in mining, driven largely by the sale of 2 large mining shovels in the quarter, which were in backlog at September 30th, 2025. The year-over-year decrease was due primarily to lower mining backlog driven largely by the sale of 6 large mining shovels since December 31st, 2024, and lower material handling backlog. These decreases were partially offset by an increase in Power Systems backlog, driven by the long-term RCD contracts signed with ISI during the quarter -- during the fourth quarter of 2025 and higher ERS orders. Backlog at December 31st, 2025, included 2 large mining shovels. Inventory decreased $58.2 million compared to Q3 of 2025. Ongoing inventory optimization initiatives have decreased inventory by over $200 million from peak levels at March 31st, 2024. Inventory decreased $126.4 million compared to Q4 of 2024. The year-over-year decline is mainly attributed to lower inventory in all categories, driven largely by management's focus on optimizing inventory levels. Management continues to focus on optimizing inventory levels and mix while matching these with business volumes and maintaining fill rates at appropriate levels. Please turn to Slide 13, where I will provide an update on cash flow, leverage and working capital. Cash flows generated from operating activities in the current quarter of $81.5 million compared to cash generated of $81.4 million in the same quarter of the prior year. Cash flows generated from operating activities for the full year 2025 amounted to $194 million compared to cash generated of $75.1 million in 2024. The increase in cash generated of $118.8 million was mainly attributable to a decrease in inventory and lower rental equipment additions, offset partially by a decrease in accounts payable and accrued liabilities. Our Q4 leverage ratio improved to 1.62x from 2.28x in Q3 due primarily to the lower debt level driven by cash generated from operating activities during the quarter. The corporation's leverage ratio is currently within our target range of 1.5 to 2x at the end of Q4. Also in the quarter, on October 24th, 2025, the corporation amended its bank credit facility, extending the maturity date from October 1st, 2027 to October 24th, 2029. There is no change to the credit limit of the facility. The maturity date extension strengthens the corporation's liquidity profile, providing enhanced financial flexibility and greater certainty of funding for planned strategic initiatives. Our available credit capacity at the end of Q4 was $266.9 million, which is sufficient to meet short-term normal course working capital and maintenance capital requirements and fund our planned strategic initiatives. We continue to focus on working capital efficiency, which is a key component in managing our overall leverage targets. The Q4 working capital efficiency was 25.1%, an improvement in efficiency of 30 basis points from 25.4% at September 30th, 2025, due to the lower trailing 4-quarter average working capital, largely resulting from lower average inventory levels. Inventory turns have improved from Q3 of 2025 and improved to 2.5x from 2.0x in Q4 of 2024 due primarily to lower average inventory levels and our focus on inventory optimization throughout the year. The optimization of inventory, improvement in cash flows from operating activities and meaningful reduction in leverage reflect management's disciplined execution and a more resilient balance sheet as we enter 2026. Finally, the Board has approved our first quarter 2026 dividend of $0.35 per share payable on April 2nd, 2026, to shareholders of record on March 16th, 2026. Please turn to Slide 14. And at this point, I will turn it back to Iggy.
Ignacy Domagalski: Thank you, Tania. Our outlook is summarized on Slide 14. During the year, management focused on cost control, inventory optimization and margin improvement to reduce leverage, enhance profitability and increase cash flow from operations. In 2025, Wajax delivered revenue of $2.145 billion compared to $2.097 billion in 2024, adjusted basic earnings per share of $2.90 versus $2.44 in 2024 and cash flow from operating activities of $194 million compared to $75.1 million in 2024. In percentage terms, revenue was up 2.3%, adjusted EPS was up nearly 20% and cash flow was up [ 158 ]. Inventory was reduced by $126.4 million to $547.6 million and leverage improved to 1.62x, returning to management's target leverage range of 1.5 to 2x. These actions represent initial steps in a broader ongoing program of operational improvement. In 2026, management will continue to focus on disciplined cost control, inventory optimization and margin improvement, supported by prudent capital allocation and effective execution to enhance efficiency, strengthen cash flow and support sustainable performance. Looking ahead, Wajax continues to see strong customer demand in the mining and energy sectors with mining demand reflected in a backlog of 2 large mining shovels for delivery over the next 5 quarters. Market conditions in other sectors remain mixed across regions with continued macroeconomic softness and uncertainty related to Canada, U.S. tariffs and trade dynamics. Wajax enters 2026 with a strengthened balance sheet, a solid backlog and improved operating performance. Inventory levels are within a normal operating range. Margin and cost control remains a focus and leverage is within the corporation's target range. While demand visibility varies across end markets, the corporation's diversified exposure and approach to capital allocation and execution supports its ability to manage current conditions. Management believes that continued execution of its priorities underpinned by prudent capital allocation and balance sheet strength will support sustainable long-term value creation. Personally, as I reflect on 17 years with this organization, I'm encouraged by what our teams have accomplished. We have expanded and diversified the business through a mix of acquisitions and organic growth, built a culture that helps our people succeed personally and professionally and established a more resilient foundation to drive long-term value creation. In October, the Board of Directors and I jointly agreed to initiate a CEO succession process. And with that process now complete, I'm excited to welcome George McClean as Wajax's new President and Chief Executive Officer, effective later today, and he will also join the corporation's Board of Directors. George is an experienced, thoughtful, driven and people-focused leader, and I believe he is exceptionally well suited to lead Wajax into its next chapter. We look forward to introducing George to the investor and analyst community in the weeks ahead. Today is my last official day as CEO of Wajax, and I will remain with the company until March 20th to facilitate a smooth and seamless transition. And after that, I will be cheering on the team from the sidelines as a shareholder and wishing them continued success. In closing, I would like to recognize the hard work, resilience and trust of our employees. Your commitment to safety and success of our customers and each other is onspiring. To our leadership team, you are amongst the most talented and hardest working people I've ever met. It has been an honor to work alongside you. To our customers who are critical to our success, thank you for your continued business and trust. We strive every day to exceed your expectations. To our manufacturing partners who continue to innovate, evolve and support solutions that help our customers succeed, we appreciate the opportunity to represent your world-class products in key markets worldwide. I also want to thank our Board for their trust and wise counsel over the years. Their deep experience and strong oversight will remain instrumental in shaping and supporting our broader strategy for years to come. And last but certainly not least, I want to recognize our shareholders, banking partners and analysts for their continued support and recognition of our vision to create and drive long-term value. I firmly believe Wajax is well positioned to thrive in the months and years ahead, and I look forward to cheering the team on as it continues to build momentum. I will now turn it over to the operator to open the line for questions.
Operator: [Operator Instructions] First question comes from Patrick Sullivan with TD Cowen.
Patrick Sullivan: It's nice to know you over the years. So congratulations on everything. My first question, I guess, is basically on the guidance range for SG&A as a percentage of revenue. In the past, it's been 14.5% to 15.5%, but you guys have been investing that number for some time now. So I guess all the changes you made, are these new levels, lower levels, I guess, the new normal? Do you have an updated range?
Tania Casadinho: Patrick, thanks for the question. Yes, we are extremely happy with what we've done so far with SG&A and our cost management strategies. And our full year run rate is at an adjusted of 14%. In terms of forward-looking, I guess, guidance and range, we do aim to operate within that lower end of the range. So the lower end is now 14%, I would say. And we feel that within that lower end of the range, we should be able to continue to operate within that on a full year basis. Now on a quarter-over-quarter basis, that's obviously relative to volume of revenue.
Patrick Sullivan: Okay. Great. Yes, I totally understand that. I guess sort of sticking with the margins. Gross margins were up year-over-year, but they did take a bit of a step back sequentially. I know in the commentary of the filings, it said you saw meaningful improvement in product support margins versus the full year 2024 and improved IP and ERS margins in the latter half of 2025. I guess can you just talk us through the margin dynamics at play to end the year? And then how you're feeling about the progression going forward?
Tania Casadinho: Sure. Thank you for the question. We continue to be very focused on our margin profile and margin expansion, as we mentioned. We did see a bit of a fall in Q4 relative to a couple of things, including mix. Our expectation, how we're seeing this going forward is we feel relatively good about the full year GP percentage for 2025 and aim to continue to see some of the improvements that we started to see in the latter half of 2025.
Operator: The next question comes from Devin Dodge with BMO Capital Markets.
Devin Dodge: Iggy, just before I get started with the question, I just wanted to wish you best of luck in your next steps. And if George is in the background there, just good luck in the new role, and congrats on joining Wajax.
Ignacy Domagalski: Thanks so much, Devin. Much appreciated.
Devin Dodge: I wanted to start with that shipbuilding contract, which I thought was interesting or it looks like an interesting opportunity. Just wondering if you could provide a bit more color on that contract, when those deliveries should start and if there are opportunities for this contract to grow over time.
Ignacy Domagalski: Yes. Good question. So it's a big deal for us. We've been chasing this contract for 7 years. And so we're really pleased to land it just recently. There's -- we do think there's quite a bit more runway with the customer. Obviously, it's we still have to bid and win the work, but we think there's a significant more amount that's potentially on the table. And for this specific contract, we expect the majority of the revenue to be recognized between now and 2029.
Devin Dodge: Okay. And just wanted to confirm, is the full value of the contract in backlog? Or is it -- did you just embed what's likely to be turned into revenue in the next 2 or 3 years?
Ignacy Domagalski: All of it's in backlog.
Devin Dodge: Okay. Got it. Okay. Second question, it's probably for Tania but working capital efficiency has meaningfully improved the last couple of years. I know it's been a big focus internally. So congrats on that. Just going forward, is there much more room to reduce inventory further? Or is improvement in efficiency more likely to be driven by increasing turnover?
Tania Casadinho: Great question. Thank you. We are quite happy with the range it's at now from a turns perspective. We did increase inventory up to 2.5 turns from 2 at the end of last year. And we generally feel good about that range. We are continuing to look for ways to optimize certain areas of inventory, but the biggest push has probably already been done. I will say that this will fluctuate based on business demand, obviously, in terms of just when we need to stock for proper business expected demands and when we expect to have larger mining shovels in inventory. So it might fluctuate quarter-over-quarter. But overall, we feel good with -- from a turns perspective, where inventory is, and that's really the biggest driver of our working capital.
Operator: The next question comes from Jonathan Goldman with Scotiabank.
Jonathan Goldman: Maybe we could just talk about product support, another quarter kind of softness there. I was wondering if you can talk about sort of what end market dynamics you're seeing there in terms of demand? And how do we square kind of the lower revenues with the improvement in margins? Is there some sort of strategy or trade-off there that's happening?
Ignacy Domagalski: Yes. I'm happy to provide some commentary on -- just on our markets. I think construction, we're seeing some optimism in Quebec and Atlantic, but conditions are definitely more cautious in Ontario and Western Canada. And mining is fairly strong across the country. We had a lot of RFQs in 2025. So we expect hopefully a few more decisions on those RFQs in 2026. And whether it's gold, copper, iron ore, metallurgical coal or nickel, they all remain generally healthy and oil sands is pretty healthy, too. And then oil and gas is decent as well. Forestry is definitely weaker nationally. And as a result, pulp and paper is down as well. Metals continue to be a struggle with tariffs and government utilities are -- those are pretty strong for us right now across the country. There's lots of infrastructure spend. And then industrial and commercial markets, definitely softer, especially in Quebec and Ontario. So I mean, just in terms of all activity, I would say we're continuing to see cautious activity in Q1 and current event overseas are injecting a little bit more uncertainty into things. So that's at least in the very short term, that will be a challenge. So that's just kind of the high-level market commentary. In terms of product support, it was just kind of a regular quarter, nothing to really report one way or the other. But I would say that the improved margins, that's all of our internal margin enhancement activities that we've been working on pretty hard. So we're pleased to see some improvements in those margins and really put in a lot of effort there.
Jonathan Goldman: Okay. That's helpful. And it's good to hear. And I guess related, Iggy, recently, I guess, in the past few quarters, you talked about industrial products and ERS kind of customers deferring capital projects, putting a pause on those and really spending only on MRO. Has that dynamic shifted at all? I guess I'm also asking specifically because it looks like a really nice quarter in ERS, the growth year-on-year.
Ignacy Domagalski: Yes. I think that's more just timing of some projects. But we're still seeing -- we're definitely seeing caution with industrial and commercial markets, as I mentioned, especially in Quebec and Ontario, which are pretty big. The West is, I would say, moderate, and there's a little bit of strength in Atlantic, but it's a pretty small market for us. But for sure, customers continue to push out capital projects and even still pushing out some maintenance. So I mean that's -- we've talked about it a bit, eventually, that has to stop, but we haven't seen a stop yet.
Jonathan Goldman: Okay. And I guess one more nice work on the inventory destocking, the free cash flow generation and leverage back within your target range. How are you thinking about capital allocation priorities coming into the year, understanding kind of this transition period now, but you're kind of in a better position right now to start thinking about some levers to surface value.
Ignacy Domagalski: Yes. We're -- I mean, we're very happy to be back in our target range. Just -- we obviously want to maintain flexibility. So operating at the lower end of the range is great, but we have kind of plans to stay within the range. It fluctuates quarter-to-quarter. Of note, the spring is our busy equipment selling season. So we usually have to increase our inventory a little bit there. So that's given us a nice buffer to be able to do that. Normally, on an annual basis, we spend about $15 million on just on maintenance of our facilities. No immediate plans to change any of that. And then we also put about $15 million into our material handling rental fleet. So that happens on an annual basis. And in the past, we had put money into acquisitions. And our Board has publicly said that in their press releases, related to the CEO transition that that's something that they're still very interested. I would say that we are going to be opportunistic on that front. We've got some decent capability inside the company to do acquisitions from the acquisitions that we've done in the past. We still continue to integrate some of those, and we think there's still a little bit more room to squeeze some value out of the companies that we have already acquired. And then we've got a great new CEO in George McLean. And if you've looked at his background, you'll see that he's got a pretty deep M&A experience. So I'll leave it to him to talk about that at the next call and how he's seeing the world, but that certainly is something that I know he will be thinking about for sure.
Operator: We have no further questions. I will turn the call back over to Iggy Domagalski for closing comments.
Ignacy Domagalski: Wonderful. Thank you for joining us today, and we appreciate your continued interest in Wajax. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.